Operator: Good morning and welcome to Air Products First Quarter Fiscal Year 2008 Earnings Results Conference Call. Just as a reminder that you'll be in a listen-only mode until the question-and-answer segment of today's call. Also, this teleconference, presentation and the comments made on behalf of Air Products are subject to copyright by Air Products and all rights are reserved. Air Products will be recording this teleconference and may republish all or a portion of the teleconference. No other recording or redistribution of this telephone conference by any other party is permitted without the express written permission of Air Products. Your participation indicates your agreement. Beginning today's call is Mr. Nelson Squires, Director of Investor Relations. Mr. Squires please go ahead.
Nelson Squires - Director of Investor Relations: Thank you Christina. Good morning and welcome to Air Products quarterly earnings teleconference. This is Nelson Squires. Today our CFO, Paul Huck and I will review our first quarter results. We issued our earnings release this morning, and it is available on our website along with the slides for this teleconference. Please go to airproducts.com and click on the scrolling red banner to access the materials. Instructions for accessing the replay of this call beginning at 2:00 PM Eastern Time are also available on the website. Two other items, before we get started this morning. First; Air Products will host its annual meeting of shareholders tomorrow, Thursday, January 24th at 2:00 PM Eastern Standard Time. Go to airproducts.com to access the live audio webcast. And second, just as a reminder, we have revised our business segment reporting structure, restated financial history was distributed this morning. Beginning this quarter the Polymer Emulsions business is being accounted for as discontinued operations. And results for our Polyurethane Intermediates business, whose business model is very similar to our Tonnage Gases segment, with long-term contracts and raw material cost pass through provisions are now included in the Tonnage segment. Please turn to slide 2. As always, today's teleconference will contain forward-looking statements based on current expectations regarding important risk factors. Please review the Safe Harbor language on this slide and at the end of today's earnings release. Now, I'll turn the call over to Paul.
Paul E. Huck - Senior Vice President and Chief Financial Officer: Thank you Nelson. Good morning and thank you for joining us today. Now please turn to slide number 3, for our review of this quarter's results from continuing operations. As you can see, we had an excellent quarter. A strong start to fiscal 2008, sales grew 9%, growth was constrained by a tough comparison in our Equipment and Energy segment, excluding Equipment and Energy, sales grew 15% driven by better volumes in pricing across most segments. Currency contributed 4%. We continue to make progress, reusing SG&A as a percentage of sales. This quarter SG&A was 12% of sales, lower than prior year and prior quarter. Operating income of $372 million was up 17% from prior year. Again due to better volumes and pricing and also improved cost performance and currency. As a result, our operating margins improved by 100 basis points to 15%, great progress towards our goal of improving our margins by 300 basis points over the next three years For the quarter, our net income and diluted earnings per share increased by 16% and 17%, respectively on a continuing operations basis, we beat the top end our guidance by $0.06. Our return on capital improved with ROCE increasing to 12.3%, up 70 basis points from last year. Please turn to slide number 4. Now let me talk about the factors that affected the quarter's performance in terms of earnings per share. Higher volumes, contributed a $0.03 improvement. Higher pricing and margins together, contributed $0.05. Other costs were favorable by $0.01 as our productivity efforts continued to deliver. Our Poland acquisition contributed $0.02, favorable currency contributed $0.07. Separately, the other income line on our consolidated P&L was a bit higher this quarter than its normal run rate. This resulted from foreign exchange gains in asset management activities. Gains on asset sales were mostly offset by a write down of a startup venture included in equity affiliates income. Interest expense increased due to a higher debt balance, which was partially offset by lower interest rates. We repurchased $2 million, excuse me... we repurchased 2 million shares spending $190 million this quarter. Fewer shares outstanding contributed $0.01, all other items net to zero. The bottom line is we had a very strong first quarter and our fiscal year 2008 is off to a great start. Now, I will turn the call over to Nelson to review our business segment results. Nelson?
Nelson Squires - Director of Investor Relations: Thanks Paul. Please turn to slide five, Merchant Gases. Merchant Gases continue to grow at a solid pace during the quarter. Sales of $897 million were up 21%, versus prior year. Acquisitions contributed 6% and currencies 7%. Underlying growth was up 8%, with pricing adding 3% and volume 5%. Sequentially, Merchant Gases sales grew 5% with both volume and price, each contributing 1% and currency 3%. Merchant Gases operating income of $175 million was up 26% versus prior year and segment operating margin of 19.6% was up 80 basis points, due to continued pricing gains and volume growth. Margins rose sequentially by 150 basis points. Let me now provide a few highlights by region. Please turn to slide six. Based on request from many of you for regional data, we have decided to provide a regional sales analysis instead of specific product alignment price detail, as we have in the past. We hope you will find this change helpful. In North America, our sales increased 12% driven equally by volume and price. Overall growth would have been higher, had Argon and Helium not been in limited supply. Nitrogen sales to oil field services increased 30% year-on-year, with much of this demand coming in the vicinity of our Ashland, Kentucky and Reidsville, North Carolina plants, where we will be bringing on additional capacity later this year to meet this continuing growth. We will launch additional price and surcharge actions on 1, January of this year to address rising distribution costs. Our new business signings were outstanding in the quarter and are significantly ahead of target. Our ability to bring solutions to help deal with high energy prices in address capacity needs continues to bring in new customers at solid returns. Sales increased 31% over prior year in Europe with volume and price each contributing 3%, currency adding 13% and acquisitions adding 12%. Availability of Argon and Helium limited volume growth, new business signings were in line with expectations and reflect the continued tightness in LOX/LIN capacity on the continent. In Asia, merchant sales were up 20% over last year, volumes contributed 14%, currency 4% and price and acquisitions added 1% each. Volume growth was limited by lack of molecules in Korea and Taiwan. The underlying LOX/LIN volume growth remain strong in areas where products was not constrained. We have two plants coming on stream near term in Asia to help address capacity and an additional three plants coming on stream over the next 12 months. Please turn to slide 7, Tonnage Gases. Sales of $791 million grew 15%, compared to last year. Volumes increased 5% versus prior year. Natural gas and raw material prices were high versus prior year and added 5%, currency added 3% and acquisitions 2%. Sequentially, volumes were down as expected due to seasonal maintenance by our customers. Operating income of $111 million was up 16%, compared to last year. The increase over prior year was due to higher volumes, improved plant efficiencies and asset sales. This was partially offset by higher maintenance spending and higher bidding expenses related to significant growth opportunities. The sequential decrease of 6% was due to higher maintenance spending. Operating margin of 14% was slightly higher than last year and was held down by higher natural gas cost pass through and higher maintenance cost. This reduced margins sequentially as well. We received letters of intent for five major Tonnage contracts during the quarter. These were included in our previous CapEx guidance. We will formerly announce each of them over the next few quarters. We were honored to have the President of Mexico at the dedication of our new nitrogen facility supporting Pemex's Enhanced Oil Recovery business. The plant started up on time, on budget and at specifications. We also started up an on-site this quarter in China for a steel customer. We will bring four additional large plants on stream in fiscal '08 including our second hydrogen plant for Petro-Canadas Refinery in Edmonton, Alberta. As demonstrated by our growing number of new projects, bidding activity remains high with outstanding opportunities around the world. Please turn to slide 8, Electronics and Performance Materials. Segment sales of $514 million were up 6%, compared to last year. Volume gains accounted for 6%, lower equipment sales... lower equipment results reduced sales by 1%. Pricing reduced sales by 1% and currency added 2%. Electronics sales were up 4%, compared to last year, driven by higher sales in specialty materials and offset by lower equipment sales. Excluding equipment, sales increased 7%. Electronic sales were up 2% sequentially due to higher return of sales. In Performance Materials, volumes grew 4% and our new product volumes improved 15% versus prior year and now represent more than 15% of the portfolio. We are seeing increasing demand for our environmentally friendly products as well as those with improved energy efficiency and productivity. Performance Materials volumes were down 10% sequentially due to normal seasonal demand patterns. Overall, operating income of $66 million was up 33% versus prior year. Operating margin up 12.8% was up 260 basis points versus prior year. We are seeing the impact of the Electronics portfolio improvement as well as the continued penetration of our formulated products in Performance Materials. Margins were up 120 basis points sequentially reflecting the impact of restructuring and increased sales and higher margin products. We just announced the new plant of Signet Solar and are seeing bidding activity for new projects increase. We expect to see continued solid progress in improving our margins this year. Please recognize overall revenue growth will be lower due to our SKU reduction efforts. However, we are already beginning to see these efforts payoff in margin expansion. Please turn to slide 9, Equipment and Energy. Sales of $100 million in this segment decreased due to a one time sale of some offsite work for our refinery customer last year, as well as lower LNG activity. On a sequential basis, sales declined 19% largely due to lower LNG activity. Operating income of $9 million decreased versus prior year and versus prior quarter. Last year's results benefited from an LNG order cancellation payment. Our backlog of projects in this segment now totals $246 million. As we announced yesterday, we received an LNG heat exchanger order during the quarter and expect to receive additional LNG and large ASU orders later this fiscal year. Please turn to slide 10, Healthcare. Healthcare segment sales of $171 million were up 10%, compared to prior year, due primarily to better performance in Europe. Sequentially, sales were up 7%, reflecting strong results in Europe and some improvement in the U.S. business. Operating income of $14 million was up, versus prior year and higher European results. Overall margins improved to 8% in the quarter, versus 6% a year ago and were up 250 basis points sequentially. Now I'll turn the call back over to Paul.
Paul E. Huck - Senior Vice President and Chief Financial Officer: Thanks Nelson. Now, to turn to slide 11. As we look forward, from quarter one to quarter two, we are forecasting our second quarter earnings per share on a continuing operations basis to be in the range of $1.17 to $1.21. This excludes any divesture gains or pension settlement charges and represents year-on-year growth of 21% to 25%. On the positive side, we expect to see increased earnings sequentially from the following areas. In Merchant Gases, we look to drive new applications and continue to implement price increases and fuel based surcharges. In Electronics, we expect higher equipment sales and further benefits from our product rationalization efforts. In Performance Materials, quarter one, as expected, was a seasonally low volume period for this business. We, therefore, expect to see a seasonal rebound in volumes in quarter two. Equity affiliate income should improve sequentially as well, and finally, we expect our productivity efforts will continue to expand our margins. Somewhat offsetting these sequential improvements is our forecast for lower operating results in our Equipment and Energy segment, due to higher energy development spending. In quarter two, we do expect to close our polymer sale to Wacker. We are currently estimating a before tax gain of $65 million to $85 million. Quarter two will also see the bulk of our pension settlement charge recorded. For the year, we are currently forecasting a charge of $25 million to $30 million with the quarter two portion being $24 million to $26 million. Turning to slide 12, our outlook for the full year, last quarter, we gave you fiscal year 2008 guidance of $4.80 to $5, which included both a full year of polymers and a 2008 portion of our pension settlement charge. This quarter, we move polymers to discontinued operations. This lowers our guidance from continuing operations by $0.17 and based on the confusion it created, we have also decided to exclude the pension settlement charge. This raises guidance by $0.07, therefore, excluding these items, an equivalent range for the full year guidance we gave you last quarter, would now be $4.70 to $4.90. Due to our strong first quarter performance, continued growth from our new investments and improved margins from our productivity efforts, we are raising our guidance by $0.15 on the bottom end and $0.10 on the top end, to $4.85 to $5. Based upon fiscal year 2007 EPS from continuing operations of $4.20, which excludes $0.30 of one time net gains, we are forecasting a year-on-year increase of 15% to 19%. Turning to slide no 13, as we look at economic activity through the first quarter of this year, it is tracking in line with the projections we gave you in last quarter's year end call. There has been a lot of talk on the possibility of a U.S. recession. We have not seen evidence of this in our results. As we have said before, slowing in manufacturing from the housing decline has been almost offset by increased exports, due to a weaker $1. As we look to the future, demand for industrial gases is driven by the value they bring to our customer and I cannot remember a time, when the demand factors have been more positive for us. Industrial gases are used to increase energy efficiency, increase the throughput and capital efficiency of machinery and equipment, improve the end product quality and improve environmental performance. The prospect of sustained higher energy prices is driving significant new opportunities in both our merchant and tonnage businesses, as customers look to increase the energy efficiency of their processes by using industrial gases. Manufacturers today are seeing high capital costs for new equipment and also difficulties and delays in sighting and permitting new investments. Many of our customers are choosing to use industrial gases to de-bottleneck our existing plans and therefore, add low cost capacity quickly. We are also seeing much stricter environmental regulations on all manufactures and these pressures are creating great opportunities in both our merchant and tonnage businesses. Finally, our global businesses are well positioned in the areas of greatest future investment, Asia, Central and Eastern Europe, the Middle East and North America. We believe, this gives us a distinct advantage over our competitors. This is evidenced by our global leadership in hydrogen for clean fuels, oxygen for gasification and Electronics, where our market focus brings the best applications and broadest range of products and solutions to our customers. Recently, there have been some analyst reports suggesting Air Products is more cyclical and could under perform its competitors during a downturn. Let me assure you that the steps we have taken to transform our company since the last economic downturn have solved this problem. As you know, we were not pleased by our performance during the last downturn from 2001 through 2003. The actions we have taken over the last few years to change Air Products into a more focused less cyclical, higher growth and higher return company were aimed at delivering sustainable results during the periods of economic uncertainty. Please turn to slide number 14. Let me discuss a number of the actions that we have taken. We have moved to global business units in the past four years. This is resulted in considerable expansion overseas and we now have 56% of our sales outside of the United States, compared to 44% in 2000. With the sale of our emulsions assets in the next quarter, we will be out of the cyclical chemicals businesses. The downturn in our former Amines and Emulsions businesses were major contributors to our underperformance. We have made major changes to our Electronics business, significantly lowering its cost of conducting business, exiting a low margin product lines, introducing new higher margin products and winning a significant amount of new Tonnage business. This has made Electronics a much better business with solid fundamentals better margins and higher returns. Also, the Electronics industry has changed itself. As you will remember the downturn in the Electronics industry was a major contributor to our performance issues. The initiative has gone through a shake out and consolidation has occurred. Fundamentally, the industry has shown its ability to better manage supply and demand relationships, production in inventory without any significant cycles occurring over the past four years. We have also increased our percentage of business under long-term Tonnage contracts from 26% in 2000 to 36% today. The Tonnage business is surely contractually from the ups and down of the economy and we have the largest percentage of any of our industrial gases competitors. We have simplified, standardized and globalized our work process, underpinning them with a single instance of SAP. Across our businesses worldwide, we have reduced our cost of doing business, this has decreased our SG&A as a percent of sales from 14% in 2004 to 12% today. Our Merchant business during the last downturn had significant excess capacity at lower margins, we have done a lot to fundamentally improve that business and to manage capacity, price and margins better. Additionally, we have focused a large amount of our sales activity on applications and it is paying off. Our new business signings over the past quarters... over the past quarter were at record levels globally. We've been very disciplined in our use of capital, focusing it on our best opportunities and we'll return to shareholders over $1.5 billion through stock buyback in the past three years. Finally, as evidenced by the achievement of our ORONA goals last year, we have significantly improved the returns across our business and we have achieved record levels in 2007. We however are not satisfied with this and have set aggressive goals to increase our margins and returns over the next three years. You can see by the improvements we have demonstrated in this first quarter that we are serious about delivering this 300 basis point improvement in margins over the next three years. The bottom line is that we believe we are well positioned both near term and long term to grow earnings, increase cash generation and improve returns resulting in greater shareholder value. The focus of our actions over the past few years has been to get us positioned well around the world in the key markets with strong businesses, excellent products and the right solutions for our customers to deliver results for our shareholders. We have done that and we look forward to capitalizing on this great opportunity. Thank you, and now I'll turn the call over to Christina to take your questions. Question And Answer
Operator: Thank you. [Operator Instructions]. And our first question will come from PJ Juvekar with Citi.
Prashant Juvekar - Citigroup: Yes, good morning Paul.
Paul E. Huck - Senior Vice President and Chief Financial Officer: Good morning PJ.
Nelson Squires - Director of Investor Relations: Hi, PJ.
Prashant Juvekar - Citigroup: In Tonnage Gases, you mentioned that margins were constrained by higher bidding expenses. Can you elaborate on that? Is this happening in U.S. or Asia? And what is the competitive activity right now?
Paul E. Huck - Senior Vice President and Chief Financial Officer: In the constraint it was not a lot PJ. But it did impact us. It just it goes backs to the bidding activity which we have and we expense those cost as we continue to bid. And it gets back to the drivers which I talked about, trying to drive bid as possibly you look at things to save energy, as we look for clean fuels, if you look at gasification. We look to people who will take and expand our plants to the de-bottleneck, improve our metal performance and that's happening for us around the world. It's happening in the U.S., its happening in Canada, its happening in Asia, in Central Europe.
Prashant Juvekar - Citigroup: Is there a particular... I am sorry go ahead.
Paul E. Huck - Senior Vice President and Chief Financial Officer: The Middle East also.
Prashant Juvekar - Citigroup: Okay. Is there a particular product like LOX/LIN or hydrogen that is getting more competitive?
Paul E. Huck - Senior Vice President and Chief Financial Officer: Well no... in your comp... your question on competition, everything in the markets and they are competitive. I mean... and I don't think the intensity is actually exceptionally increasing there. We have always competed with the large industrial gas companies around the world on these things. I think the thing which we look at is we are seeing very strong demand for those products around the world. Oxygen, nitrogen and hydrogen which are primary Tonnage products.
Prashant Juvekar - Citigroup: And you mentioned about SKU reductions in Electronics, can you tell us how much of the revenue is impacted and what were the margins on those revenues, maybe like 2% or 3% margins in those businesses?
Paul E. Huck - Senior Vice President and Chief Financial Officer: And if you look at that and we have said, its probably somewhere between $80 million to $100 million a year in revenue, which are coming off by the exits of those products for us and those... and the drop was... and those products went from... as we looked at them from some lost money to some and they made money. But as we looked at that, the margins were poor.
Prashant Juvekar - Citigroup: Great. Thank you.
Paul E. Huck - Senior Vice President and Chief Financial Officer: Yes, thank you.
Operator: Our next question will come from Robert Koort with Goldman Sachs.
Robert Koort - Goldman, Sachs: Thanks very much. Paul I don't often do a cheerleading good quarter, I won't this time, but I have to say, that was a pretty inspiring defense of your outlook you gave there a minute ago.
Paul E. Huck - Senior Vice President and Chief Financial Officer: Thank you Bob.
Robert Koort - Goldman, Sachs: Maybe a little bit more granularity on the Electronics side. When you look at the 260 basis points year-on-year margin improvement, I am trying to assess how much of that is one off from the HPPC divestiture and how much of it is the early stages of business optimization, of what you have got? Can you help me out there?
Paul E. Huck - Senior Vice President and Chief Financial Officer: Bob the... on the results which you were looking at the HPPC divestiture is completely out of all the years. So that was put in discontinued operations.
Robert Koort - Goldman, Sachs: Well, okay.
Paul E. Huck - Senior Vice President and Chief Financial Officer: All due to... its all due to all other things which you talked about, restructuring the business, dropping at a product lines, increasing our Tonnage revenues, the products and getting to a low cost supply and rationalizing our businesses.
Robert Koort - Goldman, Sachs: Okay, great. And then secondly, if I may, Nelson you talked about adding some new letters of intent on the Tonnage side, can you give us some sense of what those look like on a return hurdle basis and maybe how that's changed over the last three or four years? Did we hit a plateau... we're now the competitive environment has sort of stabilized or you are still seeing enough project activity that bid hurdles can continue to increase?
Nelson Squires - Director of Investor Relations: We... these projects are definitely going to increase our overall returns. They have been all very good projects for us, a combination of both hydrogen, probably majority hydrogen and some nitrogen and oxygen. We are very pleased with these, with key customers and areas where we want to grow. And as Paul stated, obviously the bidding activity is intense, but we are winning more than our fair share because of our offerings and the infrastructure that we have.
Robert Koort - Goldman, Sachs: Perfect. Thanks.
Operator: Our next question will come from Jeffrey Zekauskas with J.P. Morgan.
Jeffrey Zekauskas - J.P. Morgan: Hi, good morning.
Nelson Squires - Director of Investor Relations:
Hi Jeff:
Paul E. Huck - Senior Vice President and Chief Financial Officer: Hi Jeff.
Jeffrey Zekauskas - J.P. Morgan: On the cash flow statement, the gain on sale of assets is $6.2 million, what... I take it that that's the number that passed through your income statement?
Paul E. Huck - Senior Vice President and Chief Financial Officer: Yes it is.
Jeffrey Zekauskas - J.P. Morgan: What was the magnitude of the charge that asset write down you talked about?
Paul E. Huck - Senior Vice President and Chief Financial Officer: And the write down was... and the write downs overall were close to that.
Jeffrey Zekauskas - J.P. Morgan: But that's not included in that line?
Paul E. Huck - Senior Vice President and Chief Financial Officer: No, it is not, and the equity affiliate line, it does not get included there.
Jeffrey Zekauskas - J.P. Morgan: So it's like $4 billion or $5 billion is that what you mean for the right?
Paul E. Huck - Senior Vice President and Chief Financial Officer: No Jeff, I didn't sell the asset there, so, if I would have sold those assets, it would have been, I just took a loss on the asset because of the venture.
Jeffrey Zekauskas - J.P. Morgan: Okay and then secondly, your currency gains were, or the currency benefit was $0.07, does that include hedging gains, or is that exclusive of hedging gains?
Paul E. Huck - Senior Vice President and Chief Financial Officer: It includes those gains, but I will be honest with you. We do not do a lot in the... in hedging gains which are not exactly matched until that is not a lot of activity for us.
Jeffrey Zekauskas - J.P. Morgan: And then lastly, is your... are your targets for equipment and energy operating income higher for 2008 now, or lower or the same, given that you had such a nice first quarter?
Paul E. Huck - Senior Vice President and Chief Financial Officer: About the same.
Jeffrey Zekauskas - J.P. Morgan: About the same, thank you very much.
Operator: Our next question will come from Merrill Lynch, Don Carson.
Donald Carson - Merrill Lynch: Thank you. Couple of questions on earnings visibility, Nelson you talked about your new business signings in Merchant being at a higher rate in calendar '07 and continuing, as you look at that, what kind of volume growth does that give you? And also an additional question on equity affiliate income, now that the Pemex Project has started up, what kind of quarterly increase should we see in equity affiliate income?
Nelson Squires - Director of Investor Relations: I will take the volume one and then pass it over to Paul for the second question Don. As I have said in these calls before, one of the things that we are benefiting by is has been the acceleration of signings over the last couple of years and we were laying a very good baseline for growth in the coming quarters and coming fiscal years, so a lot of what we saw in this first quarter was the benefit of what we had signed in the previous, say three or four quarters. That all being said, it still gives us in terms of new growth, somewhere in neighborhood of 4% or 5% expectations for this year in LOX /LIN, obviously, LAR and Helium are going to be dampen, because of their availability, but we still see pretty solid growth and the other adding comment to that is that our base business continues to move along, meaning the base business is still growing for us. Now I will turn it over to Paul for the Pemex.
Paul E. Huck - Senior Vice President and Chief Financial Officer: Sure Nelson thanks. If we look at that project, Don, that project for the year probably adds about $0.02 to $0.03 of share for us.
Donald Carson - Merrill Lynch: Okay.
Paul E. Huck - Senior Vice President and Chief Financial Officer: And that of the cost of financing the deal.
Donald Carson - Merrill Lynch: Okay. Nelson just to clarify on the Merchant selling, so you are targeting 4% to 5% new growth and in LIN/LOX and then base growth should still be what, sort of in the 3% or 4% range?
Nelson Squires - Director of Investor Relations: Yes, that's probably more of a blended number. So I think we are seeing a high rate of conversions which is you know, we are typically converting 2% to 3% a year, so if you take that off, adding nominal base business growth to the new growth, its still looking like a 5% number.
Donald Carson - Merrill Lynch: All right. Okay, thank you.
Nelson Squires - Director of Investor Relations: You're welcome.
Operator: And our next question will come from Deutsche Bank, David Begleiter.
David Begleiter - Deutsche Bank: Thank you, good morning.
Nelson Squires - Director of Investor Relations: Morning David.
Paul E. Huck - Senior Vice President and Chief Financial Officer: Hi Dave.
David Begleiter - Deutsche Bank: Hey Paul, just in Europe, are you seeing any pockets of weakness in the economy either by region or by industry?
Paul E. Huck - Senior Vice President and Chief Financial Officer: Certainly, if you go to Europe, Dave, Western Europe is not as strong as the East. So, if we look at the growth, the growth is strongest for us in our Polish assets there, and our Czech assets, which we have there, so that's the area of greatest growth. The UK obviously, is a slow area also, but... and the best areas are really on the Eastern and Central.
David Begleiter - Deutsche Bank: Just on the pricing front, Paul, North America, what's your full year expectation now for Merchant pricing gains in North America?
Paul E. Huck - Senior Vice President and Chief Financial Officer: If we look at pricing gains then this is going to depend upon what happens on energy pricing obviously, because of pass-throughs, but we would expect our prices to continue to go up through the year, whether we get to overall of 3% or 4% gain would probably be a good expectation for us I would say.
David Begleiter - Deutsche Bank: And lastly, on the Merchant side, given the pace of new business signings, are you gaining share as in North America?
Paul E. Huck - Senior Vice President and Chief Financial Officer: And that's always hard to tell over one particular period, but we think we are doing well. We are certainly gaining share on the applications end, as we look at certain things. So we look at certain markets like our glass and the oilfield services and stuff like that, we... our expansions there are doing very, very well.
David Begleiter - Deutsche Bank: Thank you very much.
Paul E. Huck - Senior Vice President and Chief Financial Officer: Yes.
Operator: Our next question will come from New Vernon Associates, Steve Schuman.
Steve Shuman - New Vernon Associates: Good morning guys.
Nelson Squires - Director of Investor Relations: Hi Steve.
Paul E. Huck - Senior Vice President and Chief Financial Officer: Good Morning Steve.
Steve Shuman - New Vernon Associates: Hey how are you? I applaud your new JV as far as opening up... potentially opening up in Middle East, but what about some opportunities you are closer to home, on particularly oil sands, obviously, you have a couple of hydrogen deals out there, what I am getting to hear about more, both hydrogen on the oil sands processing side and also potential gasification from power and steam?
Paul E. Huck - Senior Vice President and Chief Financial Officer: We continue to work in the area and so... and we are quite active and we are hopeful that we will have an announcement sometime within the next year of our project in that area.
Steve Shuman - New Vernon Associates: But any of those five projects be up there at this point that you have announced, but...
Paul E. Huck - Senior Vice President and Chief Financial Officer: No, no they are not.
Steve Shuman - New Vernon Associates: What's sold off, are they... are the companies out there more interested in doing it themselves, either building their own plant or just buying a plant from you?
Paul E. Huck - Senior Vice President and Chief Financial Officer: No they are large investments, Steve, and so they... and they take it... is in the multiple billions of dollars and so they take a long time to get these things to come together. But we are convinced with the position that we have and the customers, who we have served up in that area that we are uniquely positioned to win jobs in that area.
Steve Shuman - New Vernon Associates: Great thank you.
Paul E. Huck - Senior Vice President and Chief Financial Officer: Yes.
Operator: And our next question will come from Mike Harrison with First Analysis.
Mike Harrison - First Analysis: Hi good morning.
Nelson Squires - Director of Investor Relations: Good morning Mike.
Mike Harrison - First Analysis: You guys in your... one of your mid quarter sales updates, you reported that Tonnage Gases sales were up 24% through the first two months of the quarter and then it came out today with 15% for the full quarter, obviously, I think there was some impact in there from the reclassification of the PUI business, but I was wondering if you could talk about what you saw in December in terms of Tonnage Gases sales, maybe what the prior year comp looked like for December, and then as we look in, in the March quarter, we expect sales growth kind of above or below that 20% growth rate.
Paul E. Huck - Senior Vice President and Chief Financial Officer: Mike, I think what you saw was probably the October number, as I recall. It was up very strongly, the reason why and we noted this is a point in time this currency was in there, at that... not currency, excuse me, on gas and gas was in October of last year of 2006, which is the first month of the fiscal year, it was quite low, it was in the $4.80 range I think, and it was much higher, it was close to $7 for us in this year, and so that pushed sales up a lot. The other thing which just held down the year-to-year growth, as you look at this in my Tonnage segment is the movement of the Polyurethane Intermediates business, into that segment, and that obviously is not a business of growth for us, so that is held back down. The other thing is that I think in '07, we had just, we were just beginning to make a startup for a plant in the Gulf coast to that point in time and so we didn't get a full month of sale, so there is little volume carryover. But if you look at this and we look forward, we certainly would not expect to see 20% sales growth on the Tonnage business going forward. I think it's going to be in the single digit... high single digit range for us for the rest of the year depending obviously on gas prices.
Steve Shuman - New Vernon Associates: Okay thanks. And then on the Healthcare segment, obviously still we're not quite where you want to be with that business, but some nice improvement in margin there. I was wondering --
Paul E. Huck - Senior Vice President and Chief Financial Officer: Thank you.
Steve Shuman - New Vernon Associates: Talk about the traction that you are getting in the North American portion of that business and maybe whether you think the North American business may have turned the quarter... a corner during this quarter?
Paul E. Huck - Senior Vice President and Chief Financial Officer: Certainly we started to see the North American results improve, which is a very good thing for us and we are happy about that. The rate of progress needs to get better still. We think we have... and we are encouraged, we think we have the right solutions here going forward. And that we would expect to see continuing improvement throughout the year in the Healthcare segment.
Steve Shuman - New Vernon Associates: All right, thanks very much Paul.
Paul E. Huck - Senior Vice President and Chief Financial Officer: You're welcome.
Operator: Our next question will come from Fred Siemer with Chemical Research for Wall Street.
Fred Siemer - Chemical Research for Wall Street: Yes, I have just a couple of questions.
Paul E. Huck - Senior Vice President and Chief Financial Officer: Yes Fred.
Fred Siemer - Chemical Research for Wall Street: One I was surprised to hear... I think you said you had plenty of merchant capacity in the United States, that's quite a change from last year. What is your operating rate in North American merchant and how much capacity did you add as a percentage of total in the last year?
Nelson Squires - Director of Investor Relations: Well Fred this is Nelson. We didn't say we had a lot of capacity, the only thing we talked about in terms of capacity was the LAR and Helium and we are still tied. But operating rates have remained about the same, so as last year because we have added capacity, we have also done a significant number of conversions in the last 12 months or so. The capacity that we have added has probably added about 3% or 4% to our total U.S. production.
Fred Siemer - Chemical Research for Wall Street: You were almost 86%, 88% last year, you are running that high now?
Nelson Squires - Director of Investor Relations: Yes. Yes we are.
Fred Siemer - Chemical Research for Wall Street: Okay. The other question is regarding your stock and you are pretty well completed, I think you are planned... immediate plans for divesting in chemicals. But you are still under performing perhaps there substantially, I mean your stock was 18% theirs was 16% and the PE multiple discount that Air Product suffers is still 1.5 to almost 2 which implies you are leaving $400 million of evaluation... of stock evaluation on the table by having this invisible chemicals business tucked into Tonnage Gases. You once promised us that you would try to explain the non-cyclicality and value of that chemical business. Can we look forward to that this year?
Paul E. Huck - Senior Vice President and Chief Financial Officer: Fred, we are done on the sale of that and we did everything which we said we would do. The Polyurethane Intermediates business is the same as our Tonnage businesses. It sells to a few customers, long-term contracts, they have to take the product, they are committed to take the product, they pay us for that and we pass through the cost of raw material and we index for labor and maintenance on the plant and stuff like that. So it looks just like a contract in that business, and that's why we put it there. I don't think that that's a reason for why we are short of Praxair.
Fred Siemer - Chemical Research for Wall Street: What is the reason your gas business is as good or better than theirs? I --
Paul E. Huck - Senior Vice President and Chief Financial Officer: We have to improve... and part of the thing is trying to get our returns up and you've seen us talk about that and we've done a good job of getting that. But we still aren't their return levels, we need to improve that and part of that is... in us showing out and trying to get the margins of the business up. And we're very serious about that, because we believe that we have a better portfolio as far as growth and positioning for that growth.
Fred Siemer - Chemical Research for Wall Street: So, we can expect nothing further in chemical divestitures?
Paul E. Huck - Senior Vice President and Chief Financial Officer: Right.
Fred Siemer - Chemical Research for Wall Street: Right, okay, thanks.
Operator: Our next question will come from Glen Hill Investments, Peter Butler.
Peter Butler - Glen Hill Investments: Yes, good morning, good morning.
Paul E. Huck - Senior Vice President and Chief Financial Officer: Good morning Peter.
Nelson Squires - Director of Investor Relations: Good morning Peter.
Peter Butler - Glen Hill Investments: Nice to see continuing positive earnings surprises. I have two questions, first is simple I think, could you give us your projections forecast for some of the cash flow numbers, CapEx and DD&A for this year and into '09?
Paul E. Huck - Senior Vice President and Chief Financial Officer: If you look at, on a CapEx, what we have said is that it's a $1.1 billion to a $1.2 billion in '08. We would also expect that to grow in '09 and there's still projects to be won obviously to get that. But we would expect that to happen. As far as for this year, we probably expect our depreciation and amortization to be in the 850 range or so, and probably growing in the next year as we bring more plant. So take that up, you know 5%, 6%.
Peter Butler - Glen Hill Investments: Okay. And the other question is, you are making some nice improvements in your asset mix, you should be benefiting from the weak dollar obviously etcetera. Is there any reason for you at this point to consider increasing you ROI goals or ORONA goals etcetera?
Paul E. Huck - Senior Vice President and Chief Financial Officer: Our goals are to keep it growing and to continue to drive it higher for us. So, yes, we are trying to drive it higher.
Peter Butler - Glen Hill Investments: No, but I am asking whether, at some point here where you... could you have a significant increase in your expectations for goal... these goals, based on some of the changes that have taken place in your mix and dollar relationship etcetera, etcetera?
Paul E. Huck - Senior Vice President and Chief Financial Officer: Well, and Peter, I'd rather would answer that in terms of trying to increase on the margin side. And so if you take those 300 basis points in improvement and margin and translate that to an improvement on return on capital which is simple, and you can see the goals are higher.
Peter Butler - Glen Hill Investments: Yes.
Paul E. Huck - Senior Vice President and Chief Financial Officer: And those things are put in there as far as changes in currency, it really doesn't increase... that doesn't change what happens as far as my return on capital goals because the numerator and denominator are affected by both those things. So it's about the same impact on both things, it doesn't move it. But certainly going into good projects helps us.
Peter Butler - Glen Hill Investments: All right. Thanks for the help guys.
Paul E. Huck - Senior Vice President and Chief Financial Officer: You're welcome.
Nelson Squires - Director of Investor Relations: You're welcome.
Operator: Our next question will come from Mike Judd with Greenwich Consultants.
Michael Judd - Greenwich Consultants: All right. Yes, congratulations to also on a good quarter. I am just, given the uncertainty in the equity markets now, I'm just wondering, obviously your businesses are doing well. But, are there any areas where you are seeing any weakness in either domestically or international, just anything that, you might want to give us a little bit of heads up on?
Paul E. Huck - Senior Vice President and Chief Financial Officer: What were you seeing Mike and we had talked about this before is that we did see some drop in the housing related markets, 18 months ago it started for us. And those have continued to be low. But we have been able to go out and offset most of them especially as we look at... on the export business. These export markets have done very, very well for us and have actually helped us because they have lot more exposure on export markets than we do on housing markets internally within Air Products.
Michael Judd - Greenwich Consultants: And if there is a slower growth globally, you guys were just basically tying your belts a little bit, is this that kind of the take away also there?
Paul E. Huck - Senior Vice President and Chief Financial Officer: Absolutely.
Michael Judd - Greenwich Consultants: Okay. Thanks a lot.
Paul E. Huck - Senior Vice President and Chief Financial Officer: Yes.
Nelson Squires - Director of Investor Relations: You're welcome.
Operator: Our next question will come from Kevin McCarthy with Banc of America Securities.
Kevin McCarthy - Bank of America Securities: Yes good morning.
Paul E. Huck - Senior Vice President and Chief Financial Officer: Good morning Kevin.
Nelson Squires - Director of Investor Relations: Good morning Kevin.
Kevin McCarthy - Bank of America Securities: Paul, how would you prioritize uses of free cash flow and specifically, given your constructive outlook and the volatility in the stock market should we expect repurchases at a steady rate, so much of the $190 million in this quarter or you see potential to accelerate that activity?
Paul E. Huck - Senior Vice President and Chief Financial Officer: All right, as far as the priorities are first to spend money on good projects and acquisitions and JV buyouts which execute our strategy, that's obviously the first one. The next one would be maintaining the A bond rating for us, then we look at increasing dividend within the 30% to 40% range, and then the last one is that money goes back to the shareholders. And so what... and that's what you have seen from us for the past two to three years and we are going to continue that. So yes, I would expect the ability to continue but to go out and buyback shares, provided that I am not presented with a great acquisition opportunity or something like that which is... but currently within these... on the capital spending guidance which is out there, what you can see is that it would result in a share buyback rate about even with what you saw in the first quarter.
Kevin McCarthy - Bank of America Securities: That's helpful. And then I had a few questions on the Tonnage business, if I look at your volume growth there of 5% in the quarter, is that a reasonable base line growth rate to think about exclusive of new plants start up? And then on the subject, that new plants start ups, is your hydrogen unit in Edmonton for Petro-Canada still on track for the second calendar quarter?
Paul E. Huck - Senior Vice President and Chief Financial Officer: The answer to that is, that it starts up right at the beginning... last question, is that it starts up right at beginning of the third... of our third quarter. So yes, that's right in the April timeframe, yes it is there. As far as growth on the Tonnage side, to drive growth in there in that business, we actually need to bring in new investments. And so, we do sell some, but we are... we're selling a lot today, as far as the system is concerned. So the underlying growth of that business depends upon being able to spend capital.
Kevin McCarthy - Bank of America Securities: And then finally on Tonnage, what was the magnitude of PUI sales that you transferred out of the old chemical segment into tonnage in the quarter?
Paul E. Huck - Senior Vice President and Chief Financial Officer: It's about $300 million a year.
Kevin McCarthy - Bank of America Securities: Okay. Thank you very much.
Paul E. Huck - Senior Vice President and Chief Financial Officer: Yes.
Operator: Our next question will come from Jefferies, Laurence Alexander.
Laurence Alexander - Jefferies and Company: Good morning.
Paul E. Huck - Senior Vice President and Chief Financial Officer: Good morning Laurence.
Nelson Squires - Director of Investor Relations: Good morning Laurence.
Laurence Alexander - Jefferies and Company: I guess, first question on the pricing cycle in Merchant Gases in Europe. Do you think if the conditions are tightened up but even in a stable environment in Europe, you'd be able to maintain a pricing cycle the way you have in the U.S.?
Paul E. Huck - Senior Vice President and Chief Financial Officer: Yes.
Laurence Alexander - Jefferies and Company: And would it still be around 2%, 3%?
Paul E. Huck - Senior Vice President and Chief Financial Officer: Yes, could be. Yes.
Laurence Alexander - Jefferies and Company: And on the... in terms of the Tonnage business, in terms of the growth prospect, if you look at the projects that you are confident you are signing or that the ones that you might be announcing near term, plus the once that you think are likely after that. What do you think is a good reasonable volume growth rate for Tonnage over the next three years?
Paul E. Huck - Senior Vice President and Chief Financial Officer: In a long-term I think in the low teens.
Laurence Alexander - Jefferies and Company: On the volume side?
Paul E. Huck - Senior Vice President and Chief Financial Officer: Yes, 12, 13 on the volume side.
Laurence Alexander - Jefferies and Company: Okay. And that will be over three to five years?
Paul E. Huck - Senior Vice President and Chief Financial Officer: Yes, yes, right.
Laurence Alexander - Jefferies and Company: Perfect. And then in the past sometimes you have discussed doing acquisitions to double or triple the size of Performance Materials. Given the improvement in your returns, in the industrial gas side, has that dropped off as a priority?
Paul E. Huck - Senior Vice President and Chief Financial Officer: No, but we need to get the right properties. We continue to look and explore in that area,
Laurence Alexander - Jefferies and Company: And are you seeing those properties coming available or is that sort of more hypothetical at this point?
Paul E. Huck - Senior Vice President and Chief Financial Officer: No. we continue to work at opportunities, but as I said the opportunity has to be in... the right markets, have the right products and make the right return.
Laurence Alexander - Jefferies and Company: Perfect. And then just to be clear on Healthcare margins, it sounds as if you are still on track for your two to three year goals on North American Healthcare margin?
Paul E. Huck - Senior Vice President and Chief Financial Officer: Yes, but its early days, but we continue to work hard at it.
Laurence Alexander - Jefferies and Company: Okay perfect, Thank you.
Operator: Our next question will come from Chris Shaw with UBS.
Chris Shaw - UBS: Hey guys, good morning.
Paul E. Huck - Senior Vice President and Chief Financial Officer: Hi Chris.
Nelson Squires - Director of Investor Relations: Hi Chris.
Chris Shaw - UBS: Have you... are there any assumptions that you can share with guidance in terms of the high end, low end, is there sales number that goes with the high end or low end, or any sort of the industrial production estimate, is there anything you can share around that?
Paul E. Huck - Senior Vice President and Chief Financial Officer: Well certainly, if you go back to our guidance, in the beginning of the year, we said globally, maybe 3% and 3.5%, global for the manufacturing markets globally, so that's a number which fits there. I think on the other end of the guidance, some of the things which is, is our ability to really deliver on some new product successes etcetera in our businesses.
Chris Shaw - UBS: Okay. And then quickly, I think it was mentioned that 2Q tax rate will be lower, how lower you talked about, what was the reason?
Paul E. Huck - Senior Vice President and Chief Financial Officer: Slight.
Chris Shaw - UBS: Okay.
Paul E. Huck - Senior Vice President and Chief Financial Officer: Not... its... and the tax rate is going to bounce a little bit all the time on us, but we try give a year guidance and it depends on when... on when we are able to book certain benefits.
Chris Shaw - UBS: Okay, great, thanks.
Paul E. Huck - Senior Vice President and Chief Financial Officer: You are welcome.
Operator: Our next question will come from Mark Gulley with Soleil Security.
Mark Gulley - Soleil - Gulley & Associates: Hi good morning, guys. I got three questions.
Paul E. Huck - Senior Vice President and Chief Financial Officer: Hi Mark.
Nelson Squires - Director of Investor Relations: Hey Mark.
Mark Gulley - Soleil - Gulley & Associates: I wanted to talk about competition in CapEx, as I look at your U.S. competitor and one of your European competitors; it looks as if they are spending more as a percent of sales and in the case of European competitor, one of them doubled in terms of dollars, in terms of CapEx. So do you view that as a kind of a ratcheting up of CapEx spending by your competitors, can you compete at a somewhat lower level of CapEx, can you provide some help there please Paul?
Paul E. Huck - Senior Vice President and Chief Financial Officer: We certainly think the CapEx which we are spending is right, right now for us, and it correlates with the wins which we have had, we think we are maintaining or expanding our competitive position. I don't know the exact areas in which everyone is spending; you would have to ask them to get to, to put them together. But we have also paid a lot of attention trying to drive our cost of plants down, too in this environment.
Mark Gulley - Soleil - Gulley & Associates: Okay. Secondly, it looks to me, like you are showing two measures two metrics for returns, of ROCE and ORONA, are you going to focus on one of the other, in terms of how you project that to us, in terms of how your comp is determined?
Paul E. Huck - Senior Vice President and Chief Financial Officer: No they actually track together and we are... and we have comp programs which actually stretch out a few years and so, we still have some programs which track ORONA and the ones which we introduced this year to track return on capital employed and so we are going to share both.
Mark Gulley - Soleil - Gulley & Associates: Finally, I want to wrap-up with the question on coal to chemicals, certainly, Pioneer along with Eastman; are any of the five projects that you are going to announce in the next couple of quarters associated with coal gasification particularly, perhaps in the U.S.?
Paul E. Huck - Senior Vice President and Chief Financial Officer: No, on those part of projects, but we have been, we are working very hard with, GTE on the IGCC plants there. To get that and it's been announced and we are going to, be with them on those. And we should have something occurring in the near future.
Mark Gulley - Soleil - Gulley & Associates: Thanks Paul.
Paul E. Huck - Senior Vice President and Chief Financial Officer: Yes.
Operator: And our final question will come from Edward Yang with Oppenheimer & Co.
Edward H. Yang - Oppenheimer & Co.: Thank you. Good morning.
Paul E. Huck - Senior Vice President and Chief Financial Officer: Hi Ed.
Edward H. Yang - Oppenheimer & Co.: My question is on industry competition and obviously the industries changed a lot for the better and become more consolidated and you mentioned that your utilization levels in North America are remaining fairly stable and at higher levels. What's your sense Paul, in terms of how much per cushion you have, in terms of how much utilization could dip down before you might see some more price competition in the industry and would that level be, now be at a higher point than, or a lower point than it was may be 10 years ago when there were more competitors.
Paul E. Huck - Senior Vice President and Chief Financial Officer: I would not see the utilization of the plants dropping it, and it goes back to the stuff which I talked about before, about the way, there is way in people use their gases, so if we go look at things, say energy prices are high, environmental performance, people are trying to go out and work on their plants, I mean, for us, our signings are at the highest levels ever, in the U.S. Highest levels ever, and so I would not see a drop in that occurring, it's hard to imagine.
Edward H. Yang - Oppenheimer & Co.: In the off chance that you do see it dropping in terms of your own mindset, would you tolerate lower utilization and keep pricing relatively high or would you try to optimize the utilization more than the pricing?
Paul E. Huck - Senior Vice President and Chief Financial Officer: A thing you have to remember is that we do have long term contracts and so a drop in pricing is not going to precipitate everyone coming in and getting a price decrease. So what happens is that we have these contracts for five years on the bulk of our customers and so I would not see an easing off. So, for us, it would probably result in the way, which we would go out and do that is, cut back on expansions for things, cut back maybe somewhat on our conversion efforts and try to manage our capacity that way.
Edward H. Yang - Oppenheimer & Co.: Okay, thank you very much.
Paul E. Huck - Senior Vice President and Chief Financial Officer: You're welcome.
Operator: And at this time, there appears to be no further questions in the queue. I would like to turn the conference back over to the speakers, for any closing or additional remarks.
Nelson Squires - Director of Investor Relations: Thanks Christina. Please go to our website to access a replay of this call beginning at 2:00 PM today. Thank you for joining us and have a nice day.
Operator: That does conclude our teleconference for today. We would like to thank everyone for your participation and have a wonderful day.